Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Second Quarter Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. I would like to remind everyone that this conference is being recorded today, Friday, August 7, 2015 at 9:00 a.m. Pacific Daylight Time. I’ll now turn the presentation over to Bryan Giglia, Chief Financial Officer. Please go ahead.
Bryan Giglia: Thank you, Audra, and good morning, everyone. By now you should have all received a copy of our second quarter earnings release and supplemental, which we released yesterday. If you do not yet have a copy, you can access it on our website. Before we begin this call, I’d like to remind everyone that this call contains forward-looking statements that are subject to risks and uncertainties, including those described in our prospectuses, 10-Qs, 10-Ks and other filings with the SEC, which could cause actual results to differ materially from those projected. We caution you to consider those factors in evaluating our forward-looking statements. We also note that this call may contain non-GAAP financial information, including adjusted EBITDA, adjusted FFO and hotel EBITDA margins. We are providing that information as a supplement to information prepared in accordance with Generally Accepted Accounting Principles. In addition, hotel information presented includes our adjusted comparable 30-hotel portfolio which includes prior ownership information. The 2014 hotel information has also been adjusted to conform with the industry's uniform system of accounts for the lodging industry, 11th revised edition, which became effective in January of 2015. With us on the call today are John Arabia, President and Chief Executive Officer; Marc Hoffman, Chief Operating Officer and Robert Springer, Chief Investment Officer. After our remarks, we will be available to answer your questions. With that, I’d like to turn the call over to John.
John Arabia: Thanks Bryan, good morning, everyone. On today’s call, I will discuss several items including first to review our hotel performance. Second our outlook for the operating environment and third an update of the embedded growth we expect from our two value add repositioning projects in Boston and Wailea. Next, Marc will review our second quarter operations in detail, followed by Bryan, who will then walk through our updated earnings guidance. To begin with, our portfolio outperformed our expectations for the second quarter. Our RevPAR growth of 7.1%, which was made up of a 6.3% increase in ADR and a 60 basis point increase in occupancy exceeded the midpoint of our guidance of 6% to 7.5%. Overall, second quarter RevPAR growth was strong even with the previously anticipated softness at our two New York City hotels and lower than anticipated results at our Renaissance Baltimore. The Renaissance Baltimore was negatively impacted by group cancellations and softer transient booking following a period of civil unrest. Excluding Renaissance Baltimore, our RevPAR growth for the quarter would have been 7.8%, which would have been above the high end of our guidance. We expect the impact in Baltimore to be short lived and remain bullish on the City as both citywide room revenue and our group bookings pace are up over 30% for 2016. Not only did our room revenue growth exceed the industry average for upper upscale hotels in the second quarter, but our other income contributed to demonstrate healthy year-over-year growth. Other revenues increased 10.2% during the quarter for a variety of reasons including the implementation and restructuring of resort fee programs in certain of our properties and an increase in tenant lease revenues at a few of our hotels. Also during the second quarter, food and beverage revenues increased 3.6% while food and beverage margins were up an impressive 190 basis points. Our total food and beverage revenue growth was hindered by the Renaissance Baltimore, which experienced several banquet cancellations during the two-week period of civil unrest. Banquet sales and audiovisual spend continues to increase at most of our properties as evidenced by a 5.3% increase in food and beverage revenues excluding the Renaissance Baltimore despite only modest increases in portfolio occupancy. As we've stated in the recent quarters, groups continue to add more events to their programs and continue to upscale their functions in terms of both quality and size. The stronger than anticipated non-room revenue contributed to a 6.4% increase in comparable total property revenues. This revenue growth coupled with a 3.9% increase in comparable property expenses drove a 160 basis point increase in hotel adjusted EBITDA margins and a very healthy 11.3% increase in comparable hotel EBITDA. Our comparable hotel EBITDA exceeded our expectations and as a result, our second quarter adjusted EBITDA and adjusted FFO per share exceeded the high end of our guidance and the consensus estimate. Despite the short term impact of civil unrest in Baltimore and the anticipated lackluster results in New York City, our portfolio continues to demonstrate significant strength. More importantly, despite recent concerns within the investment community that the end of the current cyclical expansion is upon us, we remain confident in the strength of this recovery. The second quarter of 2015 marks the 20th out of the past 22 quarters in which year-over-year quarterly occupancy has increase for our portfolio. the two quarters in which occupancy declined were negatively impacted by renovation disruption and would have posted occupancy increases had it not been for renovation displacement. As occupancy continues to build, our pricing pressure continues to intensify. Our RevPAR growth this quarter came approximately 90% from EDR, which is an improvement from the approximately 55% growth it contributed during the second quarter of 2014. On a hotel specific level, Washington DC seems to have turned the corner as our Baltimore DC has posted a 8.9% RevPAR increase year-to-date and we anticipate the hotel will grow full year RevPAR between 5% and 6%, even with the weaker third quarter stemming from a shift in the holiday calendar. Additionally our Renaissance DC booking pace for 2016 is up over 20% and is even stronger in 2017. Our two New York -- there are two hotels in New York City seems to have stabilized as year-over-year RevPAR growth turns slightly positive for the month of July with preliminary RevPAR growth of 3%. Despite the 3% RevPAR increase for July, we continue to have concerns over the New York market for the remainder of '15 -- remainder of 2015 and our guidance as it has been all year long, continues to expect negative RevPAR for New York in 2015. Our positive outlook for our portfolio is supported by recent hotel group production, busy convention calendars in 2016 and attractive group pace for our portfolio. More specifically, our future bookings made during the second quarter and during the first half of '15 were the highest we've seen on record and group rates for future periods continue to grow as meeting planners are more limited in terms of both space availability and key patterns. For 2016, our group pace the specifics of which we'll disclose later in the year when we provide initial 2016 guidance is robust. Furthermore citywide convention calendars for '16 indicate that compression is likely to intensify in several of our key markets. For 2016 citywide rooms are up over 10% in San Diego and New Orleans and up over 30% in Washington DC and Baltimore. Finally we believe we have significant long term growth embedded in our portfolio as Boston Port Plaza begins to ramp up during the second half of 2016 and Wailea is set to have an incredible growth in 2017. As we shared with you during our Boston Port Plaza tour, we believe that these two assets will collectively generate $56 million to $63 million of EBITDA in 2017 compared to the $41 million they generated in '14 or the $42 million to $44 million they're expected to contribute in '15. This equates to an incremental $15 million to $22 million of property level EBITDA once we're complete with our renovations at these properties. That is presented in detail at our recent Boston Port Plaza property tour, we've build a track record of delivering these complicated projects on time, on budget and within our forecasted range of revenue displacement. I believe this core competency of in-house talent distinguishes us from several of our competitors and should provide greater comfort that we can create shareholder value through select value-add repositionings. In summary we believe our portfolio is in great shape and well positioned to take advantage of the continued lodging expansion. Our balance sheet is conservatively levered and can take advantage of investment opportunities that present themselves. And we’ve built in earnings growth potential once we complete the renovations of Boston Park Plaza in mid '16 and Wailea in late '16. With that I’ll turn it over to Marc to discuss our second quarter operating results and the current operating environment. Marc?
Marc Hoffman: Thank you, John and good morning, everyone. Thank you for joining us today. I will review our portfolio's second quarter operating performance in greater detail. For the second quarter we saw comparable RevPAR grow 7.1% to $184.05 through a 6.3% growth in ADR and a 60 basis point improvement in occupancy. Overall 10 of our hotels generated double-digit RevPAR growth during the second quarter including our Wailea Resort, both our JW Marriott and Hilton, New Orleans or Hyatt San Francisco, Renaissance Long Beach and all three of our Chicago hotels as well as our hotel important. Hotels witnessing flat to negative RevPAR included our two New York hotels and the Renaissance Baltimore as John discussed before. With occupancy continuing to be at record levels and with demand trends continuing to improve, our operators have focused on increasing transient rates through a proactive revenue mix management and focusing of pure ADR increases. This strategy has helped to increase our premium business portfolio while in the second quarter. More specifically we continue to focus on decreasing our reliance on discount channel. During Q2 all of our discount segments declined by 3.5% in room nights, while increasing a solid 4.5% in rate. Furthermore in Q2 we saw a 10.5% room night decline in special corporate but a 5.8% increase in the special corporate rate. Our hotels has limited availability mid week and are starting to close out or limit the number of lower rated special corporate rooms as well as lower rated group rooms in favor of higher rated bar rates. We also saw a strong movement in group rate during Q2 with a 7% increase in group rate and a 1.4% increase growth in rooms. Our group rate strength was seen in all group segments. During Q2 we continued to see strong cyclical trends in food and beverage and improvement throughout our portfolio. Our food and beverage revenue as John said grew 3.6% year-over-year with a strong 190 basis point improvement in food and beverage margin. Our margin strength came from both expense control and recreation of menus and processes. Groups continue to increase the number and quality of events. We also continue to see revenue and cost benefits from our reinvented bars. For full year 2015, our group case for all 30 hotels increased from 4% at the end of the first quarter to 5.6% consisting of a 3.6% increase in rate and a 190 basis point increase in rooms. Similarly our group room night production for all current and future years increased 15.3% including several multiyear bookings at the Renaissance Washington DC. Our total group rooms booked during the second quarter represented the highest second quarter bookings witnessed on record. Let me turn the call over now to Bryan to review our liquidity and guidance. Bryan please go ahead.
Bryan Giglia: Thank you, Marc. At the end of the quarter we had $187.2 million of cash on hand including $88.5 million of restricted cash. We have $1.4 billion of consolidated debt and preferred securities, which includes a 100% of the $227 million mortgage secured by the Hilton San Diego Bayfront. Our leverage consistent entirely of well-staggered non-cross mortgage debt and preferred securities. Our debt has a weighted average term to maturity of approximately four years and an average interest rate of 4.4%. Our variable rate debt as a percentage of total debt stands at approximately 30%. We have 18 unencumbered hotels that collectively generated $132.5 million of EBITDA in 2014 and then undrawn $400 million credit facility. Our balance sheet is strong and we retain considerable flexibility to take advantage of opportunities as they present themselves. Now to update you 2015 guidance, for the third quarter we expect RevPAR to grow between 3% and 4%. We expect third quarter adjusted EBITDA to come in between $90 million and $94 million and we expect third quarter adjusted FFO per diluted share to be between $0.34 and $0.35. As we discussed on previous calls, we continue to expect that the third quarter will be the lowest RevPAR growth quarter of the year due to Labor Day being one week way and the Jewish holidays following mid week as opposed to on weekends last year. Our third quarter full year guidance has been adjusted for the sale of the Rochester preferred equity interest, which was completed in July. The sale of the preferred equity interest resulted in an increase in cash of $16 million as well as the elimination of $500,000 of interest income in the third quarter and $750,000 of interest income in the fourth quarter. We decided to sell our interest after evaluating the additional hotel supply hitting the Rochester market, the increased global competition for high end health services and the upcoming 2018 property level mortgage and mezzanine debt maturities. Following this sale, the total cash we recognized from the four hotels we sold in 2013 excluding the $20 million received for the commercial laundry facility, equates to approximately 160,000 per key and a 12 times EBITDA multiple. Separately, we deferred $2 million of the total $5 million Marriott guarantee income for Wailea from the fourth quarter of 2015 to 2016 due to expected strength of the 2015 property level cash flows combined with the final timing of the hotel repositioning. Our full year 2015 adjusted EBITDA guidance ranges from $347 million to $356 million and our full year adjusted FFO guidance ranges from $1.28 to $1.32 per share. At the mid-point, this implies an 11% increase in FFO per diluted share compared to 2014. Our current full year guidance as compared to the full year guidance we provided last quarter reflects the Wailea $2 million guarantee income moving from 2015 to 2016 and the decline in interest income related to the sales of Rochester preferred equity interest. With that I would like to now open the call for questions. Audra, please go ahead.
Operator: Thank you. [Operator Instructions] We'll go first to Ian Weissman at Credit Suisse.
Chris: Hi, guys, this is Chris for Ian. Congrats on a great quarter.
John Arabia: Thank you.
Chris: We've obviously seen quite a lodging sector selloff since the earnings started this quarter on concerns that the recovery might be waning. We remain very bullish on the sector. And it sounds like you are seeing some of the best pricing power you've seen, given the high occupancy. Can you talk a little bit about the discrepancy between sentiment and where you think the lodging sector is going?
John Arabia: Hey look all we can talk about is really what we are seeing in operating fundamentals. The market is going to decide what it wants to do, but what we can focus on is our underlying business and as we said in our prepared remarks, we remain confident in this recovery, we don’t feel any different than we did three months ago, six months ago. We paced on group booking pace based on convention calendars, based on everything we see. The recovery we believe is still fully untapped. There is clearly has been a lot of attention focused on New York City and on Houston, but I believe that we have talked about those issues and had budgeted for those isolated areas of weakness for some time. So that really was not a surprise to us.
Chris: Got you. With shares trading at 25% to 30% discount to NAV it seems like it's a rare opportunity to be an aggressive buyer of your stock. Your debt to capitalization is 29% even on a depressed stock price, nothing outstanding on your credit line, no acquisitions under contract, and then $150 million share purchase authorization. Can you just update us on your thoughts about buying back stock at these levels and whether or not the $200 million that you have maturing next year and the opportunity to maybe take out the preferred is holding you pack since you have new debt that you're going to issue next year?
John Arabia: Sure, first of all, we really don’t comment on our specific intentions to either issue equity or to repurchase equity, but let me give you some thoughts about how we think about, think about it. At the current price of roughly $14 and they were up a little bit today and we believe that our valuation falls very short of NAV. I think the consensus NAV is around $17.50 to $18. So at this point our best investment opportunity likely represents reinvesting in our portfolio, and whether that’s investment through high IRR investments back into our specific properties or repurchasing our own portfolio through a share repurchase. When we look at evaluating or when we evaluate a share repurchase, there is a few factors that we believe are relevant. First does the company or do we have the financial capacity to buy back stock without taking on too much debt or putting our liquidity at risk. Clearly as you mentioned our balance sheet is in great shape and we have ample access to capital. So, to the first question really no problems there. Second, how confident are we in the earnings power of our portfolio? Here again as we just talked about, we really don’t see anything material on the horizon that would cause us to reduce our longstanding view on the health of the cycle. While there has been a number of negative earnings revisions this quarter that have caused us to pause and reflect in our forecast as I just said, we remain comfortable. So to the second question no problem there. And finally, I think one of the more interesting questions we really have to reflect upon is just how comfortable are you with the absolute pricing of private market real estate values. We're clearly trending -- as you mentioned, we're trading at a pretty significant 1NAV and while we believe that our NAV will continue to increase over time one must at least recognize that real estate return expectations are very low in historic context and that there’s some risk that those return expectations eventually move higher. In this regard if we were to buy back stock we believe the best way to funds such a repurchase would be to take advantage of the current arbitrage between public and private market pricing and sell assets in the private market at the low cap rate and use those proceeds to buy back out stock at higher cap rate. And I think this goes directly in line -- these factors go directly in line with what we’ve been saying all year, which is given the disconnect between public and private market pricing we are more likely than not be net seller than a net buyer of hotels this year. So sorry for the longwinded answer, but that’s our thoughts on share repurchases.
Chris: Thanks for the color John, great quarter.
John Arabia: Thanks.
Operator: We will go next to Bill Grow at Raymond James.
Bill Grow: Good morning, gentlemen.
John Arabia: Hey, good morning, Bill. How are you?
Bill Grow: I am good thanks, let’s start on Baltimore and you gave a pretty rosy update on the City for next year group pace up big, my question really is how of that pace was booked in the period prior to the civil unrest versus after and have you now seen an end to cancellations?
Marc Hoffman: Hey, Bill its Marc Hoffman, we have absolutely seen an end to cancellations. We've actually seen some decent bookings coming in, in the last six weeks for 2016. We have had erosion in 2016 at all. And we recently booked a nice reasonable size financial piece of business into 2016. So obviously the situation there can change, but today we feel good about where we’re at and the pace is strong.
Bill Grow: Great. My second question is on New York. John, you were one of the more cautious folks on New York, and rightly so, it proved. But you also indicated that you thought we could turn positive for the city in the fourth quarter. Any change to that perspective either for the better or worse? And then, number two, we're into August so most of the summer leisure travel is coming to an end. Any change from your perspective on international inbound travel into New York and the trends there during the leisure season?
John Arabia: Yeah, Bill I’m trying to remember back I think our comment was, I think I had made the comment may be six months ago that not only did we believe that New York would be negative, but we believed that every quarter of the year would likely be negative. And then I think our discussion was there was a chance that may be fourth quarter would turn a little bit, keep in mind underlying our forecasts and just our own projections are still that every quarter is negative in New York. So while we are happy with the positive results this last month we remain somewhat cautious on the city, just given the amount of new supply, the FX impact and also what we believe is a bid of commoditization of product in New York.
Bill Grow: Any change to what you're seeing from international travel during the summer season?
John Arabia: Yeah, it looks like it stabilizing, but still relatively weak in the fourth quarter, but little bit better than the first quarter and second quarter. So it appears that there is a little bit of stabilization there.
Bill Grow: Okay. That's it from me. Thanks, guys.
John Arabia: Thanks Bill.
Operator: And we’ll go next to David Loeb with Baird.
David Loeb: Hi, John, I just want to get a little bit of an idea about what the considerations were in the pricing of the preferred that you were looking to sell. The financials in 2013 still looked pretty good. Your coverage was excellent that year. Has that deteriorated or are you expecting it to and how did you determine that discount?
Bryan Giglia: Hi David it's Bryan, when we look at the preferred in the face value and what we ended up accepting for the repayment the several factors that I touched on in the prepared remarks, the main factor that we looked at was that its -- if you look at the Rochester market and you look at the supply increase in that market, The Mayo Clinic came out several years ago and announced a very large multi-year expansion. After that there was I think from 16 to 18 there is a 20% to 30% increase in the supply over that time period in lot of smaller limited service, but still very comparative hotels. When we look at that combined with the relatively near term maturities of the mortgage in the mezzanine debt we felt that this was an appropriate price to end this investment. When you go back and look at our total cash received for the sale and looking at where the properties are performing, it still equates to 160 a key and the 12 times multiple which we think is an attractive price for that those assets. And then also keep in mind that those proceeds were then reinvested into Boston at the acquisition price at Boston was a comparable multiple to what we sold Rochester for.
David Loeb: Okay. I guess I understand that, I'm just trying to understand about the alternative of holding it to 2018 and either the equity owner selling or refinancing and perhaps giving you par or something closer to that. 
Bryan Giglia: We thought there was potential risk at that point. So taking all those factors into account we felt that this was the best outcome.
David Loeb: Okay. Great. Thanks.
Operator: We’ll go next Chris Woronka at Deutsche Bank
Chris Woronka: Hi, Good morning, guys. I want to ask you a little bit about the third quarter and just from the standpoint of, I think when you did your annual budget earlier in the year, was it just an estimate, maybe some of the short-term group business that comes in for third quarter, as you got later in the year that just shifted into October? I guess if I can frame it in a question, if you have it or if you're willing to share it, how much of a delta are you seeing in October versus September?
John Arabia: And Chris specifically what delta, I don't understand which delta you're looking for, I’m not sure…
Chris Woronka: I guess it would be more on the group. Is September group going to be down 5 and October up 10? Are you able to kind of quantify exactly where the slippage came from, from third quarter to fourth? Is it something that kind of unfolded over the year, do you think, or was it just kind of mis-modeled by everybody at the beginning?
John Arabia: Chris its John, we’ve been talking about the calendar shift, I think all year. In fact I think we started talking about it last year. So this is I would not characterize this as all as softening through the year. It’s really just a calendar shift. So go ahead, Bryan.
Bryan Giglia: Chris in the third quarter with Labor Day moving a week out with the Jewish Holidays falling mid week compared to weekends last year, it just -- it impacts more of the City Center and the large group hotels where they will not -- there will be holes in those weeks and that was expected the entire year. As we get to October, the performance relatively it bounces back to where we’ve been seeing for the rest of the year. So, the softness in September is all calendar related.
Chris Woronka: Okay. That's helpful. And then just wanted to ask you about Houston. And I understand it's only about 3% of your portfolio, so not that it really impacts you much. But I'm guessing you watch the market. Have you seen transactions or hotels for sale there? And just in the context of are some people going to get really negative on the city for long-term and try to sell at lower prices or do you think things that are for sale there are holding up on the valuation side?
John Arabia: Chris, let me pass this over to Robert Springer.
Robert Springer: Yes good morning, Chris. In the quarter there was a couple transactions, candidly there were several assets in the market in Houston prior to oil prices really dislodging. We weren’t an active investor in Houston. So we weren’t looking to increase our exposure at that time. So we were only generally aware that those transactions were in the market although I do know from some follow-up conversations that there was several deals that were in the market ultimately decided to pull themselves from the market because of the movement in the price of oil and frankly the end result in the bid that they would get, more reflecting the moment and time than really reflecting the long-term value of the real estate. So I haven’t seen any recent -- very recent trades in Houston and I think that is probably consistent with owners of lodging real estate deciding to hold for the time being to allow the oil markets to stabilize and thus market clearing prices better reflect the actual value of the real estate.
Chris Woronka: Okay. Great. Thanks. And then just, finally, on the Wailea, on the deferred guarantee payment, is that something that Marriott initiated or did you guys initiate it? Is it just purely because of the -- I think you mentioned the cash flows being better this year and so is that specifically why?
Marc Hoffman: It's Marc. We initiated it. Obviously we had a lot of asset management initiatives at Wailea this year and we were able to get in there quickly and make a lot of difference and move forward on both revenue and profitability and we work with Marriott and they were very quick to move the $4 million, $5 million guarantee to 2016.
Chris Woronka: Okay, very good. Thanks guys.
Marc Hoffman: Thank you.
Operator: We will go next to Anthony Powell at Barclays.
Anthony Powell: Hi good afternoon. Just on Wailea again, you've done very well to drive occupancy there the past couple quarters. How do you mitigate potential disruption there next year as you start to implement your CapEx strategy?
Marc Hoffman: I don’t think there is going to be a mitigation. We’ve been very public that we’re going to have a range of displacements that is going to be between on the revenue side between $12 million and $18 million and a range on the EBITDA side of between $8.5 million to $12.5 million we are going to be doing numerous things to try and reduce that. The hotel will probably have different times, different sale discounts available for those people or what I call wannabes who want to come to Wailea but never can afford it but they can probably afford during the construction period. So my sense is we will probably run higher percentage of occupancy than maybe we think and we’ll do those kind of things but there is no doubt we will have this disruption. But we are highly confident on getting the work done on time and being ready for Christmas season of 2016. 
Robert Springer: And those statistics that Marc just talked about were discussed at length, as you know at our Boston Park Plaza tour and that presentation on our website, but keep in mind also as we said at our meetings in Boston, this hotel is doing very, very well much better than our underwriting expectations and we had always forecasted pretty significant disruption in order to take advantage of the massive rate delta between us and our neighbors. So this is really proceeding as planned and actually better than planned.
Bryan Giglia: And then other thing is that the projected EBITDA displacement that I discussed is before the Marriott guarantee.
Anthony Powell: Got it, I understood the revenue and EBITDA I guess, I was more asking about the customer view, and the customer perception, but I think you addressed that with some of the discounts you mentioned. Moving on to overall transaction activity have you seen any change in posture of either buyers or seller over the past, say four weeks given some of the volatility in the equity markets and debate about life cycles?
John Arabia: It’s really too early to say, there are several transactions that are in the market right now. I do get a sense that in speaking and channel checking with different market participants, I do get a sense that the REITS are generally looking less or feeling less aggressive. Obviously the dislocation in lodging stock prices here recently I am sure is the driving factor there. I do think it will be very interesting to see where the transaction markets are at coming out of this summer, August tends to be a difficult time of vacations and so forth to get transactions done. So, I think September and October depending on where the lodging stocks are trading will probably be an interesting indicator of where the balance of the year will be from a transaction activity perspective.
Anthony Powell: All right, thanks and congrats on ending the earnings season on a positive note here.
John Arabia: Thanks Anthony.
Operator: We’ll go next to Thomas Allen at Morgan Stanley.
Thomas Allen: I think this is following upon some earlier questions, but one of your peer said this morning that they expect group RevPAR to be down high single digit in Q3. Are you expecting comparable.
Robert Springer: We will take a second just to grad that number.
John Arabia: No I mean, we are not down anywhere near like that. But let me get you the exact number here real quick. One second, no our group RevPAR for this year for Q3 is up.
Thomas Allen: Great, thank you.
Operator: We’ll go next to Lukas Hartwich at Green Street Advisors.
Lukas Hartwich: Thank you, hey guys. Most of my questions have been answered, I just have a couple of ones on the markets here. I noticed your Houston hotels did quite well during the quarter and I was kind of curious whether that was a 2Q event or you think that something that sustainable.
Bryan Giglia: Hey, Lukas, our Houston assets, we have two hotels, one Marriott, one Hilton and our asset management team started getting a little bit concerned about changes in oil sometime ago and we, lucky call it but we took on a piece of training business from non oil related company it’s actually an airline training business that has done very well for us and has protected us. That piece of business stretches out for some time. The food and beverage contribution in that group is not all that significant so that’s why you see a little bit a delta the RevPAR trend and the EBITDA trend but we at those two hotels we massively outperformed our competitive set which was down between 4% and 5% in the quarter, excuse me, year-to-date.
Marc Hoffman: As John said we are -- we continue to look for that kind of business and expect that type of business to help us as well very well in 2016.
Lukas Hartwich: Great. And then the other market that just jumped out at me was Orlando, your Renaissance there. The market looked pretty strong according to travel data. I'm just curious, is that just a near-term blip or is something else going on there that I'm missing? 
John Arabia: Yeah, it really as RevPAR was due to a lower related groups that brought in more catering in other revenues but drove down ADR EBITDA end margin are impacted by the change and accounting by IMF and last year that Hotel had a $230,000 credit in IMF in Q2. We do expect solid Q3 there and a good Q4 and 2016 looks very good there.
Lukas Hartwich: Great. That's it for me. Thanks, guys.
Operator: And we’ll move next to Ryan Meliker at Canaccord Genuity.
Ryan Meliker: Hey, guys. I just wanted to talk about New York a little bit. The first question I had was, the Hilton Times Square it looks like ran 99.6% occupancy for the quarter. I didn't realize that properties could run that high of occupancy. So congratulations for being able to bring the demand in. But, Marc, do you feel like you left some rate on the table there? Is that something you guys are trying to work through, or pushing rate a little more aggressively on properties like that, and the Double Tree which was close to 98%?
Marc Hoffman: Look, we have always run these hotels at a high occupancy given and, it’s an interesting point, given the fact that we, that the city opened about 25 rooms in the quarter. The reality of that is, there is demand there but there demand has a price limitation and so we have found that to keep the hotels full. We continued to try and drive rate and mix but it’s a phenomenon that’s exist in the city where there are numerous hotels running those kinds of high occupancies and at this point with the continued increase of supply it's just difficult to keep remixing.
Robert Springer: Yeah, in keep in mind, hi its Robert. Keep in mind, the locations of our hotels are especially from a transient perspective, are a very favorable locations and they are sought after locations so keeping the mentality of the inventory is truly disposed right, once you haven’t sold that room for the night its gone. We do take our manager at Highgate , as I know you guys are very familiar with do take a very aggressive approach to fill those rooms and to get that incremental revenue and I think we do have slightly more success just given the sought after locations.
Ryan Meliker: I think that makes sense, but just whenever I see occupancies that high I question whether you're getting the right mix. I know it's been a challenging market in New York. Out of curiosity, I think, John, you mentioned July RevPAR was up 3% in New York. What was your June RevPAR up in New York? Was that also positive?
John Arabia: On New York hold on one second.
Bryan Giglia: We'll grab that for you Ryan.
John Arabia: We don’t have it right in hand.
Ryan Meliker: I'm wondering because I know Smith Travel Research said June positive in New York. And it seemed like with June up and July up maybe trends were turning in New York. I know you said you expect that RevPAR growth would stay negative. Obviously the supply is there but the supply was there in June and July. So, what gives you confidence that New York RevPAR's going to turn back negative throughout the rest of the year? Is it just being conservative?
John Arabia: I think there is some conservatism in there by the way June was flat. I think there is some conservatism in there we’ve only seen look about 3% I think realistic possible range is modestly up to modestly down from what we see so far. And then keep in mind too, there is more supply coming we’re not done with the supply -- in 2016 is another big supply more hotels coming in and it will compete.
Ryan Meliker: Sure. All right. That's it from me. Thanks a lot.
John Arabia: Thanks Ryan.
Operator: We’ll take our next question from Smedes Rose of Citi.
Smedes Rose: Hi. Thanks. I just wanted to ask you two questions, one on Wailea. I think on your last call you had mentioned that you saw cheaper air fares, I think, from California, a big feeder market into Wailea and Hawaii in general. Are you still seeing that or any changes in the air lift front that you're aware of that are either helpful or hurtful?
John Arabia: Yeah, it's a very positive trend actually. We’ve seen declines -- in the first and second quarters we saw declines 12% to 16% that continues in the third and fourth quarter for our channel checks on flights into Maui and that’s very helpful so even as we talked about at the Boston Park Plaza tour, we’ve seen a increase in not only a number of flights but increase in demand from places like Canada so overall just positive trends in the Maui.
Smedes Rose: Okay. And then I know you've said you're going to hold off on giving any specifics on group for 2016, but at this point what you're seeing in 2015, would you be disappointed if group in 2016 wasn't at a higher level of revenues than what you're seeing for this year?
John Arabia: In other words, what we do we anticipate that group revenues will increase in '16?
Smedes Rose: Well, yes. You said for this year it's pacing at 5.6%, I think, in total group revenue. And given your positive commentary about some of the city-wides next year, would it be reasonable to assume that it will be at a bigger pace next year?
John Arabia: I think it's safe to assume that from what we’ve seen now you could see acceleration moving into next year and in terms of group pace.
Smedes Rose: Okay. Great. Thank you.
Operator: Our next question comes from Rich Hightower at Evercore ISI.
Rich Hightower: Hey, guys.
John Arabia: Hi Rich.
Rich Hightower: Following up, John, one of your comments earlier, I think I know what you meant by this but when you describe the commoditization of hotel product in New York City now, and as it relates to your assets, could you just flush that out a little bit and describe what you mean there?
John Arabia: Sure. It seems as if the consumers aren’t distinguishing that much between individual products, there might be numerous hotels that they are happy to stay in within a certain submarket and it really then comes down to price, it’s been a little -- I think a little frustrating that following upon Ryan’s question, we had a property running 99% and basic economics would say that we should be able to materially move rate in that environment and it is pretty amazing watching the revenue managers try and push those rates how quickly that demand goes elsewhere. So I wish I had a better answer for you but it does seem that the consumers are happy staying at one of many places including trading off the limited service hotels and it’s become pretty rate sensitive.
Rich Hightower: Okay, that's really interesting. And maybe a bigger picture question that I haven't asked this earnings season, the proposed Orbitz and Expedia merger as it relates to some of those factors you're describing in New York or any of your hotels, do you have any preliminary ballparking on how that might impact the portfolio?
John Arabia: Rich, no thoughts yet, it’s too early.
Rich Hightower: Okay. All right. Thank you.
Operator: And we’ll go next to Shaun Kelley at Bank of America.
Shaun Kelley: Hey. Good morning, guys, and thank you for taking my question. Good afternoon at this point. John, you mentioned something really interesting about the elasticity of New York from the customer perspective. Just thinking out loud, but as you look at other markets, particularly San Francisco, maybe Boston, do you see any of the same behavior as you get into these very high occupancy markets? San Francisco's done extraordinarily well this cycle. Why do you think there might be a difference in maybe those two other markets versus New York, given that a lot of the transparency tools that at least the consumer has -- again, it's probably different for business travel -- but at least that the consumer has should be the same in those other markets?
Marc Hoffman: Hey it’s Marc Hoffman. Look I think there is material difference New York, Boston and San Francisco. Boston and San Francisco have little to no supply coming into those markets for several years moving forward. New York this year between '15, '16 and '17 has approximately 14,000 or 15,000 rooms coming into the market and I believe a total percentage supply increase of between 5% and 7% but it’s just a big increase and so simply put you have so many more positive with supply and then in both in San Francisco and in New York you have incredible growth of available square footage of office space and growing technology and biomedical and technology in both San Francisco and Boston downtown.
Shaun Kelley: Thanks for that, Marc. I understand that when it relates to the drivers why they could be great real estate investments but I don't entirely understand why that would change the customer elasticity. If what you're describing is we've got crazily full market in New York but we can't push rate because the customer can just quickly change to an equal substitute, I'm just trying to understand, like is it leisure versus business mix that is so different between those markets? Because again, the consumer's not going to care about future supply, right? They're staying today. So that's why I'm trying to understand. Because the absolute rates and absolute occupancies in New York are massively better than what you see in Boston or San Fran.
Marc Hoffman: Yes and I think one of the dynamics that is that play in New York is not a play in other markets is because you have new hotels consistently and constantly opening in New York right now, there is always a group of hotels that are new hotels that don’t have an established customer base, they don’t have established demand base and thus they need to price themselves lower to get themselves introduced with the market. So you have existing stabilized hotels that are competing with new hotels that have no existing base to grow from. So it makes them much more price insensitive and thus they’re more aggressive and more discounting.
Shaun Kelley: I get it. Okay. That's actually very helpful color. I appreciate it, guys. Good quarter.
Marc Hoffman: Thank you.
Operator: And that does conclude today’s question-and-answer session. At this time, I would like to turn it back to Management for any closing remarks.
John Arabia: Well, thank you very much for your interest in the company. And we will talk to you all soon. Thank you.